Operator: Good morning, and welcome to ACI Worldwide, Inc. Reports Financial results for the quarter ended June 30, 2025. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to John Kraft. Thank you. Please go ahead.
John Kraft: Thank you, and good morning, everyone. On today's call, we will discuss the company's second quarter 2025 results as well as our financial outlook for the rest of the year. We will take your questions at the end. The slides accompanying this call and webcast can be found at aciworldwide.com under the Investor Relations tab and will remain available after the call. Today's call is subject to safe harbor and forward-looking statements like all of our events. You can find the full text of both statements in our presentation deck and earnings release, both of which are available on our website and with the SEC. On this morning's call is Tom Warsop, our President and CEO; and Robert Leibrock, our new CFO. With that, I'll turn the call over to Tom. Tom?
Thomas Woodrow Warsop: Thanks, John. Good morning, everyone. We appreciate you joining our Q2 2025 earnings conference call. I'm going to start by highlighting some key takeaways of our second quarter results, and then Bobby, in his first earnings call as our CFO, will provide a financial and segment-level review. They'll conclude with our updated 2025 guidance. We'll then open the call for questions. Q2 was another solid quarter for ACI. Revenue was up 7% year-over-year versus Q2 2024, and it was up 15% versus the first half of 2024. The momentum we're achieving gives us the confidence to raise our full year guidance for revenue and adjusted EBITDA for fiscal 2025, and Bobby will discuss that in more detail shortly. Our strong business momentum is reflected in strength across both our segments. And turning to the segments. The Biller segment was up 16% in Q2 and up 13% for the first half of 2025. Our Payment Software segment was roughly flat in Q2, and that was driven by the timing of our renewal and new business signings between Q1 and Q2, but it's up 18% in the first half of 2025. As a company, we signed notable new contracts and our ARR bookings in the quarter were up 86%. That brings our first half 2025 new ARR bookings growth to 71%. In May, we officially launched Connetic, our next-generation payments hub platform. As a reminder, Connetic is cloud native, and it provides enhanced capabilities such as automated decisioning, straight-through processing, decline transaction reduction and AI- powered insights that support fast decisions and superior value for our customers' customers. We have several live opportunities right now with particular interest related to real-time payments and wire transfers and the feedback about Connetic from potential customers continues to be overwhelmingly positive. Our pipeline is strong, and I'll keep you updated on our progress. In addition to our continued investment in technology leadership and innovation, we remain committed to returning capital to shareholders. In the second quarter of 2025, we repurchased 2.4 million shares, representing approximately 2.4% of ACI's common shares outstanding at the beginning of the quarter. Our ability to take these important steps to enhance shareholder returns is built on the foundation of work we've done over the last few years to strengthen our company's balance sheet. We finished the quarter with a strong cash balance of $190 million and a net leverage ratio of 1.4x adjusted EBITDA, which is significantly below the recently lowered target of 2x that we have previously discussed. I'd now like to revisit the revenue growth I just mentioned. As you know, our quarterly growth rates can fluctuate due to the timing of our term license-based business with both new contracts and renewals having significant revenue recognition upfront. Because of this, it's important to analyze longer-term trends to get an accurate sense of the trajectory of the business. And those trends are improving. While Q2 revenue was up 7% for the first half of 2025, revenue grew 15%, and that's on top of the 10% revenue growth we achieved for the full year 2024. These first half results position us well for achieving our upper single-digit revenue growth target in 2025, and they let our team focus on new business, closing opportunities more quickly and expanding our pipeline. And that supports meeting or exceeding our long-term growth target of sustainable high single-digit revenue growth. I want to highlight the changes we've made to improve our growth performance. This hasn't been an accident or a fluke. There are several factors that contribute to the growth acceleration we've seen over the last few years, and just a few of those include improving solution mix, active portfolio management, including a strategic divestiture and more aggressive pricing. But one that really stands out to me is our conscious effort to complete the signing of new contracts and renewals earlier in the year. While the revenue from a renewal contract cannot be recognized earlier than the renewal date, that's just how the accounting rules work. Getting these time- consuming renewals out of the way continues to allow us to focus on new customer wins, which can often be recognized at the time of signing. That allows our sales team to be far more efficient, and it's shown a direct impact on our results. In fact, this quarter marks the first time our estimated 60-month backlog has exceeded $7 billion. Before I turn the call over to Bobby, I thought I'd take a moment to address stablecoin, which has increasingly entered the discussions I've had over the last few weeks, particularly after the Circle IPO. You may have heard me say before that real-time payments use cases get more interesting as cross-border payments are allowed. Stablecoin is a potential driver of more adoption of cross-border real- time payments, and our solutions can already support those payments. If I broaden the lens beyond cross-border, from my perspective, the most important news to share with you today about stablecoin is that ACI is well positioned to benefit from stablecoin adoption in general. Our solutions have long accommodated many different digital currencies. One of ACI's sales differentiators is that our software handles more alternative payment networks and methods than any other competitor. Quite simply, increasing payment complexity drives customers to our solutions. It's part of our core competencies. We're actively working with players in the stablecoin space as partners enabling additional payment types for our solutions and even as customers. Our software is a great way to switch stablecoin transactions, for example. With increasing regulatory clarity such as the signing into law of the GENIUS Act in the U.S. recently, we see new use cases, and we're excited about the opportunities this trend represents for us. To sum up, we see potential here with stablecoin, and we feel very well positioned to take advantage of the opportunities it presents and it will present in the future. I'd also like to point you to the newsroom page on our website where we published some articles about stablecoin and how it may impact the global payments ecosystem over time. Have a look for some interesting stuff. Lastly, I'm proud to say that our leadership in the Payment Software industry and our ability to stay on top of emerging trends around the world has helped ACI to earn recognition as one of CNBC's world's top fintech companies for 2025 and one of Time's America's best midsized companies in 2025. These 2 honors are a recognition of our continued efforts to power the global payments ecosystem with people and technology that push the envelope, that move our industry forward and that solve money movement needs for banks, merchants and billers alike. ACI Worldwide is continually committed to excellence. I want to provide a huge thank you to the entire ACI Worldwide team for helping the company earn both awards. I'm going to turn it over to Bobby to discuss our financials and our guidance. Bobby?
Robert Leibrock: Thank you, and good morning, everyone. Before I dive into our financial results and guidance, as Tom mentioned, I want to express how energized and honored I am to be part of ACI as Chief Financial Officer and to be speaking with you on my first earnings call since assuming the role on July 1. Let me start by sharing why I joined ACI. The decision was driven by the clear potential to create meaningful long-term value for customers, employees and importantly, shareholders. That alignment is fundamental to how I lead as CFO. I was also drawn to how well positioned ACI is in a fast-moving payments industry with rising demand for secure, intelligent real-time solutions. ACI has a durable competitive advantage and is a trusted leader powering the world's payments ecosystem. Over the past month, I've been diving into the business and engaging deeply with Tom, the ACI leadership team and the financial leadership team as well as the Board. I've come away confident in the company's direction and motivated by the path ahead. I've also spent a lot of time with Scott Barron, my predecessor, and I want to extend my appreciation for his nearly 2 decades of dedicated leadership. His commitment to financial discipline and operational rigor has helped position ACI for continued success, and I'm grateful for his support during the transition. Looking ahead as CFO, I am committed to financial transparency, operational discipline and a proactive dialogue with the investment community. In the coming quarters, I'll be evaluating ways to enhance how we provide you even greater clarity into our progress. I believe the best outcomes originate from open data-driven discussions, and I look forward to having conversations with many of you in the months to come. Now let's get into the financial results. I'll cover Q2 and then provide first half progress. Revenue was $401 million in Q2, growing 7% compared to last year, and recurring revenue of $322 million accelerated to 13% growth compared to last year. Total adjusted EBITDA in Q2 was $181 million, down 13% compared to last year, driven primarily by the quarterly timing of license-based contracts and Payment Software. Turning to the segments for Q2. Growth was led by the Biller segment. Where revenue grew 16% and segment adjusted EBITDA increased 6% compared to last year. We saw particularly strong growth driven by our solutions in the government, consumer finance and utility markets. Payment Software segment revenue in Q2 declined 1% and segment adjusted EBITDA decreased 12% compared to last year. This decline year-over-year was expected and incorporated into the prior guidance given our renewal calendar and the strong new business signings we had in Q1 this year. We continue to manage the business towards our full year growth objectives and reduce the historically heavy Q4 seasonality while focusing on building sustainable revenue growth. This is shown in Payment Software's recurring revenue that accelerated to 8% growth in Q2. Looking now at the first half of the year, revenue grew 15%, recurring revenue grew 11% and adjusted EBITDA grew 24% compared to the first 6 months of last year. Both segments contributed to growth in the first half. Payment Software segment revenue grew 18% and adjusted EBITDA grew 29% compared to the first half last year. Banking solutions saw strength across all 3 main product sets with issue and acquiring, fraud management and real-time payments all growing 20% or more for the first half of the year. Biller segment revenue in the first half grew 13% and adjusted EBITDA grew 4% compared to last year. Cash flow from operating activities in the first 6 months of this year was $128 million compared to $178 million last year, lower largely due to the timing of receivables. We ended Q2 with strong liquidity, including $190 million in cash on hand and approximately $900 million (sic) [ $904 million ] of total debt outstanding, representing a net debt leverage ratio of 1.4x. During the quarter, we also retired our $400 million senior unsecured notes maturing in August 2026 with an updated and expanded credit facility that matures in February 2029. Tom mentioned our $119 million Q2 share repurchase. And for the first half, this brings our total share repurchases to approximately 2.7 million shares for $134 million. Exiting June this year, we have approximately $223 million remaining on our share repurchase authorization. Based on the momentum exiting first half, we are raising our guidance for 2025. We now expect total revenue for the full year to be in the range of $1.71 billion to $1.74 billion, higher than the previously issued guidance of $1.69 billion to $1.72 billion. We expect adjusted EBITDA for the full year to be in the range of $490 million to $505 million, higher than the previously issued guidance of $480 million to $495 million. For next quarter, Q3, we're providing guidance for total revenue to be in the range of $460 million to $470 million and adjusted EBITDA to be in the range of $155 million to $165 million. To recap, the first 2 quarters of 2025 are tracking ahead of our original expectations, and we're well positioned as we enter the second half of the year. As I hope you can tell, I'm excited to be part of the ACI team at such a pivotal time, and I look forward to helping deliver on our mission and our commitments to shareholders. With that, I'll pass it back to Tom for some closing remarks.
Thomas Woodrow Warsop: Thanks, Bobby. We're pleased with our progress in 2025. We remain focused on our broader strategy on sales execution, on the development of our next-generation Connetic platform. The first half of 2025 was strong, and we're increasingly optimistic about the rest of the year as well. With our healthy pipeline and strong full year financial forecast, we're confident in our ability to continue delivering significant shareholder value. Finally, I want to mention an upcoming event we're planning for October 21 to the 23 in New York City. We've named it Payments Unleashed, and it will be partly a celebration of 50 years of ACI payments innovation. This is our 50th year as a company. And partly, it's a thought leadership event for the payments industry, gathering some of the brightest minds in payments for 2 days of speakers, panels and topical sessions. While this is not a financial or investor-focused event per se, I think many of you will appreciate learning more about AI, stablecoin, ACI Connetic and many other hot topics in payments. If you're interested in attending, please reach out directly to John Kraft, and we'll do our best to make that happen. Thank you for joining our call. Thank you for your interest in ACI, and thank you for your ongoing support. We really appreciate it. Operator, we can now take questions.
Operator: [Operator Instructions] Our first question today will come from Trevor Williams from Jefferies.
Trevor Ellis Williams: I wanted to go back to stablecoins, Tom. I think maybe you could just frame for us what the latest has been in the conversations that you've been having with the bank's customers. And then as a second part to that, we've seen the core processors introduce some of their own solutions to help facilitate stablecoin payments for banks. If you could remind us within the stack for a bank, just where ACI sits relative to the core and what the interplay would be if there are more interbank payments made using stablecoins.
Thomas Woodrow Warsop: Sure. So thanks, Trevor. So stablecoin is, as I mentioned, getting a lot of press and discussion, and it's really interesting. I think the most important points from my perspective are, one, we've been ready for digital currencies for a long time. Stablecoins are digital currency. They obviously have a little bit different backing, but the way that they are processed and let's call it, switched for a minute, just for simplicity's sake, is we're ready for that. And you asked specifically about where we sit in the stack, where we sit right, of course, right in the middle of the payments infrastructure for banks. You asked about banks. It's also a merchant issue, and we sit in the middle of that as well for the merchants. And I think we're ready as soon as there is significant demand for stablecoin payments we're ready to facilitate it. And I mentioned specifically the real-time payments because over the last few years, we've talked a lot about real-time payments. And I think I've been -- hopefully, I've been very consistent about it. I get really excited about real-time payments when we start to talk about cross-border. And I've always said that the challenge there isn't technology because we're totally ready for that. The challenge is the regulatory environment. And stablecoin -- a very exciting thing about stablecoin is it should allow those cross-border real-time payments to be more straightforward and to get support quicker. And I think that's proving to be true. So -- and it even eliminates the FX portion of the transaction to a large extent. So we're excited about stablecoin. We're largely ready for stablecoin transactions. And as I mentioned, we're working with a number of other players that are facilitating stablecoin or want to facilitate stablecoin to make it even easier. So this is kind of playing into our long-term strategy, particularly around real-time payments.
Trevor Ellis Williams: Okay. I appreciate all that. And then on Biller, if you guys could just help unpack the acceleration this quarter. And I think coming into the year, the expectation had been for Biller to grow within that high single-digit range. For the first half, you're running quite a bit above that. So if anything has changed on the full year expectation? And just any help on how we should think about Biller in the back half would be great.
Robert Leibrock: Trevor, this is Bobby. Appreciate the question. Yes, we're very pleased with how the Biller teams come out of the year in Q2 with acceleration. Some of that you probably guess what we talked about. We saw the government area really come through with the IRS putting us in a more advantageous position there. We have seen other new logos kick in as well. For the rest of the year, we continue to see progress in there. It probably won't be at the Q2 levels, but it's still going to be strong performance that we're seeing out of that segment the rest of the year. And you'll see some of that reflected in the guidance increase for the year of $20 million that we took that up. That's in Biller, but as well as the strength in the pipeline we see in Payment Software as well.
Operator: Our next question comes from Peter Heckmann from D.A. Davidson.
Peter James Heckmann: Very nice bookings on the ARR side. Good to see. Can you talk about some of the areas of strength you had there and whether that was dominated by, let's say, one large deal or several large deals? Or was it pretty diversified in a number of smaller deals?
Thomas Woodrow Warsop: Yes. Pete, thanks for joining us. Yes, it's -- we're really pleased with the sales momentum that we're seeing really across the board. And it's not dominated by a single deal. We had a couple of nice size deals, but we also had a tail of a little bit smaller deals, so really nice mix. So nothing dominated the performance there. But as you can see, we're up over 70% year-over-year. And obviously, that will translate into benefits late this year and into next year. So it's always great when you see the sales momentum kick in and especially on the recurring revenue and ARR.
Robert Leibrock: The only thing I'd add, Tom, I mean, the diversity that you mentioned, I'm staring at the top 15 of those that we did. They span all geos, merchants, banks, biller. So I was pleased with how pervasive the traction we're seeing there is.
Peter James Heckmann: That's great. That's great. And then can you maybe give us an update on the project within merchant to kind of further develop the software to better serve the U.S. market, if I'm correct in that assumption, can you give us an update on that?
Thomas Woodrow Warsop: Yes. Sure, Pete. So we've got a number of initiatives. Some of that sales momentum is coming from our merchant business. The work we're doing with merchant is tracking well as usual with these big projects. You make changes as you go along, but we're able to compete very effectively. I think I was talking about stablecoin a minute ago. You didn't ask about stablecoin, but that's -- it gets really interesting as well. I talked about real-time payments, but it's also about merchant. And great news from my perspective on that is that our merchant solutions can handle digital payments and many, many other types of payments. So as merchants -- I'm going to tie this back to your question in a second. But as merchants want to explore accepting more types of payments, more types of digital currency and particularly stablecoin, we are absolutely ready to support them, and it's kind of an exciting time. And that isn't the reason that we -- what you're talking about wasn't specifically tied to that point about digital currency. But I think the point I'm trying to make is that we are well positioned to support customers around the world, and that's critical to be able to play a role as these types of payments become more important to the global payments ecosystem. So the short answer, which I could have just given you probably is that, that project is going just fine, and we're getting good traction with U.S. merchants as well as merchants around the world.
Operator: Our next question comes from George Sutton from Craig-Hallum.
George Frederick Sutton: Welcome to Bobby. Bobby, I wondered if you could just take us real quickly through what you see here relative to what you saw at Red Hat, where you saw them go from a similar high single-digit stance for growth into the teens. Do you see the same kind of dynamics here?
Robert Leibrock: Yes. I think -- I appreciate the welcome. And I mean you heard in my opening comments a bit, George, on kind of how excited I am on what I've seen so far in my first month. I'll start with some of the similarities that maybe are more qualitative, and then I'll get to your quantitative part of the question. Super impressed with the passion and expertise and 50 years of history, like Tom talked about, there's a ton of expertise on why our customers are coming to us across ACI's, very similar to the passion I saw at Red Hat as well on that why and that purpose of what we're trying to do in the payment industry. The second thing on a similarity basis is going to be the trust those customers have in us. Similar to the other parts of software I've been in, we're running mission-critical systems for banks around the world. The part of it that I think I get excited about and when I talk about the opportunities I see here in ACI, there's an operational and I think an execution opportunity ahead of us. Tom has been on this since he got here. He talks a lot about spreading out our capacity from a sales effort standpoint throughout the year of getting deals done earlier. And the byproduct of that is the net new ARRs we're seeing. So getting that engine going, getting the demand out there for our market-leading portfolio, very similar to the Red Hat side. The other part of it, I think I spent a decent amount of time at Red Hat on this, too, really helping our external constituencies and very squarely our investor base understand the progress we're making there. So I see the opportunity on the operational side as well as being very transparent on the progress we're making for you all as we go on that journey. But excited about the acceleration opportunities that could exist.
George Frederick Sutton: Awesome. And then, Tom, we had to go into this quarter watching FIS and Fiserv put up pretty lousy outlooks and yours is quite separated from that. I wondered if you can give us a bigger picture kind of how you feel strategically positioned up against some of the other large payment players.
Thomas Woodrow Warsop: Yes. Thanks, George. So we're not -- it's not a perfect compare. Obviously, it's not even a great compare between us and those companies. We certainly watch them closely. There -- we work with them. But -- and yes, they're customers of ours, important customers of ours. But the drivers of our business are quite different, and we're not seeing -- I think the big drivers, certainly, if I think about Fiserv, there was a little weakness in the growth around Clover, and that's a completely different business from ours. So we're not seeing, obviously, that -- the weakness that they're seeing. And I mean weakness is probably not the right word. Their growth rate a little bit slower than they originally thought. But I think we feel great about our business. We continue to solidify relationships with customers. The sales efforts are working better every quarter. Obviously, we're generating very nice cash flows and margins. We just feel really good about where our business is. It's a different business than those 2. Obviously, sometimes we get lumped in with them, and I understand that. But we have a different business, different business model and ours is working very well. That's all we can say.
Operator: Our next question comes from Charles Nabhan from Stephens.
Charles Joseph Nabhan: I wanted to talk -- I wanted to ask about some of the trends underlying the strength in the backlog. Specifically, are you seeing any increase in investment on the part of governments -- or anything you could say on investment trends, competitive factors in terms of like banks investing in payment technology relative to prior years. So I'm just trying to get a sense for what's underlying that strength in the backlog this quarter.
Thomas Woodrow Warsop: Yes. I don't think there's a -- we haven't seen a fundamental change in the way our customers are thinking about investments. They've -- I mean, this is a really important area for all of our customers, merchants, billers and banks alike and intermediaries, processors as well. So that really hasn't changed. I don't think there's anything to point to there. I think the -- we're getting a lot of attention, not just ACI, but payments in general, getting a lot of attention, which is great. And I think I've talked for -- ever since I became the CEO, I've talked about the discussions that we have constantly with our customers about modernization, about making sure that they can bring new products to market faster, they can meet the needs of their customers. And we're able to demonstrate clearly that we can support them in doing that. And that's the story just fit. And that's -- and I think we're getting better at executing it and particularly on the sales side, on the more consultative account management side, we're getting better at it. And so I think those are the drivers. I don't think it's a fundamental shift in investment and willingness to invest. I think that's been there. We're just -- I think we're just getting a little bit better at taking advantage of it. And the position we have in, as we say, powering the world's payments ecosystem makes us one of the usual suspects. We always pretty much always get a chance when somebody is looking to make a change.
Robert Leibrock: Yes, if I could add just one comment, Chuck, on the backlog, I'm glad you brought it up. I mean, Tom mentioned it's the first time we published a backlog that starts with a $7 billion. I'm excited for that. When you get the queue, just to give you a preview of -- you're going to see equal strength across both Payment Software and Biller. And Tom covered the interplay of your question between banks and maybe governments. But really, it's around that focus on new logos and equally in a lot of cases, more important with new scope and new applications as our existing customers expand and trust us even more. So we're super excited about the health of the backlog, and it gives us confidence on the revenue increase that we provided.
Charles Joseph Nabhan: Yes. Got it. And as a follow-up, I think capital flexibility is one of the aspects of the story that sometimes might fall by the wayside, but you've been pretty active on buybacks through the first half of the year. I wanted to get your -- get a little more color around your philosophy towards capital allocation entering the back half of the year, if the performance of the stock has changed your attitude towards buybacks and how you think about M&A going forward as well if that becomes a bigger part of the consideration at some point?
Thomas Woodrow Warsop: Yes, Chuck, so we -- as you said, flexibility is king on this. And we've -- I think we've positioned ourselves really well. We have a ton of flexibility to do what's right for the company and right for our shareholders. And obviously, we were more aggressive than we've ever been on buybacks in the second quarter, probably for some obvious reasons. We think it was attractively priced stock that we bought, and we leaned in heavily. Our capital allocation strategy hasn't changed. We want to apply investment where we can help the company grow -- profitably grow faster, and we're going to continue to do that. We have plenty of capacity to do that. And then when we find attractive M&A, that will make a lot of sense. I think I've said many times on these calls that there are 2 primary reasons we would make an acquisition. One would be to accelerate our progress on Connetic. If we find the right company with software we like that's cloud native and multi-tenant, that would be amazing, and we look actively for those. And then the other is for geographic expansion. So there are a few areas in the world where we have a small presence, and we're interested in finding those. We look actively, but if we don't find them, then we go to the third one, which is return capital to shareholders. And the way that we've obviously chosen to do that historically is through share buybacks, and you can see that in the quarter. But we have plenty of capacity to do all of those things, and we're actively looking for the best ways to deploy the capital that we generate.
Operator: [Operator Instructions] Our next question comes from Jeff Cantwell from Seaport Research.
Jeffrey Brian Cantwell: Tom, interesting comments on stablecoins, particularly where you see the potential adoption in certain areas like cross-border. The question I want to ask is, can you talk at all about how the unit economics stack up for you when it's a stablecoin transaction versus maybe some of the other form factors of payments you were to switch for? Are they better or are they same on average? It seems to me like maybe there's potentially some difference on a per transaction basis if you're involved with the stablecoin transaction versus maybe something like debit. So I wanted to ask, can you maybe talk through how you see that?
Thomas Woodrow Warsop: Sure. Yes. Thanks, Jeff. And so I'll tell you how it works today, and then I'm going to explain a little bit about how -- why that is. And why it probably will change over time. So if I think about -- if I go to my cross-border real-time payment that I was describing, that's a very interesting use case for stablecoin. And by the way, it could be the same, whether it's -- even if it's Bitcoin or a different transaction or actually any currency really. But if I look at the unit economics for ACI, a real-time payment generates significantly more revenue than a debit transaction. That was the example that you used right now. And the reason that is true is because we price our transactions, our customers buy buckets of capacity, so buckets of transactions. And when you buy -- we price on a curve. So when you buy a lot of transactions, the per transaction price will naturally be lower than if you buy a small number of transactions. So it all kind of depends on the volumes that are expected. And so if I look at it today, I'm just going to specifically answer your question. If I look at it today, and we saw a cross-border stablecoin transaction on a real-time platform, that would be multiples of what we would charge or what a customer would pay for a debit transaction. Today, as adoption happens, obviously, they would move up the pricing curve. And so if the volumes were the same between debit and a real-time cross-border transaction, then the prices would approach each other. They would be similar. But in the -- as that ramps up, the economics are better for us.
Jeffrey Brian Cantwell: Interesting. Okay. Great. And Bobby, welcome. I wanted to ask you one on your Q3 EBITDA guidance. Can you just walk us through the puts and takes that you see there? I wanted to better understand, you had some strong results in Q2 here. So clearly, there's some flow-through, some good momentum. But we also understand there's a lot of moving parts to this business. So curious if you can tell us more about what the major call-outs are for Q3 EBITDA and how you arrived at the guide of $155 million to $165 million. And what in your own mind puts you at the high end of that range? And what would be the main factors that will put you at the lower end of the range?
Robert Leibrock: Yes. I appreciate it, Jeff. So one, like you said, we were comfortable putting out a strong Q2 -- Q3 guide based on what we see at this point. One, I mean, I'll just highlight some of the dynamics we see over the typical seasonality. We're going up almost $70 million on a quarter-to-quarter basis in our EBITDA. A lot of that's going to carry with it a much higher Payment Software revenue stream we see in the third quarter. That goes up by about a certain amount every year as we see better seasonality there in some of our deals. So that's going to carry with it a lot more contribution to the EBITDA mix we get from that part of our business. I will say we're continuing to invest in our new platforms in these guides, things like Connetic within our sales capacity to continue to drive this. You asked specifically about what's going to be the differences within that $10 million range. It's usually going to be the uncertainty we have around when customers are going to sign those high-margin license deals. I've got a pipeline that's very strong. We're working through with the team. I feel comfortable on this where we've guided currently. And the way we're going to get towards the higher end of that is going to see a better mix of deals to flow through to the bottom line. And that's kind of what underpinned it and got me comfortable there.
Thomas Woodrow Warsop: Yes. And Jeff, as you know, the increment that Bobby is talking about, what would move one way or another would be new deals or additional cross-sell because obviously, the renewals, as we've said, they book when they book, when the renewal happens. This would be new. And so there's always -- it's a little bit of an art to say how much of that new business pipeline do I expect to close in Q3 versus Q4 or Q1 of next year. And that's really the factor that could move us in that range.
Operator: We have no further questions. I would like to turn the call back over to the company for any closing remarks.
Thomas Woodrow Warsop: All right. Well, thank you. Thanks all for joining us, of course, and for the insightful questions, and I always enjoy the engagement. We're really pleased with the results we delivered in the quarter, in the first half, and we're certainly energized about the momentum that we see for the second half of 2025. I want to just reiterate something we actually just talked about, our strategy to drive earlier contract signings is working. And when I combine that with the strong pipeline, the growing pipeline that we have, the customer demand for our Connetic platform, that reinforces the confidence we have in our path ahead, and it makes us really excited about what's coming. We appreciate your continued support. We'll obviously keep you updated on our progress, and we appreciate you and what you do to help us. So thank you very much.
John Kraft: Jefferies Conference in New York City. Tom, Bobby and I will be there on September 4. Thanks, everyone.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.